Operator: Good morning, ladies and gentlemen. My name is Harry and I will be your conference operator today. At this time, I would like to welcome you to Ferguson's Third Quarter Conference Call. All lines have been placed on mute to prevent any interference with the presentation. At the end of the prepared remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Mr. Brian Lantz, Ferguson's VP of Investor Relations and Communications. You may begin your conference call.
Brian Lantz: Good morning, everyone, and welcome to Ferguson's Third Quarter Earnings Conference Call and Webcast. Hopefully, you've had a chance to review the earnings announcement we issued this morning. The announcement is available in the Investors section of our corporate website and on our SEC filings webpage. Recording of this call will be made available later today. I want to remind everyone that some of our statements today may be forward-looking and are subject to certain risks and uncertainties that could cause actual results to differ materially from those projected, including the various risks and uncertainties discussed in our Form 10-K available on the SEC's website. Also any forward-looking statements represent the company's expectations only as of today and we disclaim any obligation to update these statements. In addition, on today's call, we will also discuss certain non-GAAP financial measures. Please refer to our earnings presentation and announcement on our website for additional information regarding those non-GAAP measures, including reconciliations to the most directly comparable GAAP financial measures. With me on the call today are Kevin Murphy, our CEO; and Bill Brundage, our CFO. I will now turn the call over to Kevin.
Kevin Murphy: Thank you, Brian, and welcome, everyone, to Ferguson's third quarter results conference call. On today's call, I'll cover highlights of our third quarter performance. I'll also provide a more detailed view of our performance by end market and customer groups before turning the call over to Bill for the financials. I'll then come back at the end and give some closing comments before Bill and I take your questions. Our associates have remained focused on delivering relentless customer service for the complex project needs of our specialist professional customers, executing well as we have returned to volume growth in the quarter. In the quarter, we saw revenue growth of 2.4% despite continued deflation of approximately 2%. We delivered resilient gross margins and appropriately managed cost to the volume environment, generating adjusted operating profit of $674 million, an increase of 2.6%. Adjusted diluted earnings per share of $2.32 was up 5.5% against the prior year. As a result of our confidence in the business, we're pleased to declare a 5% increase to our quarterly ordinary dividend and extend the share repurchase program by an additional $1 billion. Looking forward, we remain well positioned to leverage multiyear tailwinds in both residential and nonresidential end markets. Turning to our performance by end markets in the United States. Net sales grew by 2.2% as all end markets saw sequential improvement. Residential end markets, which comprised just over half of US revenue, remain muted, but showed a slight sequential improvement from the second quarter. Overall, residential revenue grew by approximately 1% in the third quarter. Nonresidential markets were slightly more resilient. Commercial and civil infrastructure revenues saw mid-single-digit growth, while Industrial sales were slightly down against strong comparables. Overall, net sales in nonresidential were up 4% during the quarter. We've continued to see good levels of nonresidential bidding activity in large capital projects. While we expect growth rates will fluctuate over time, our intentional balanced end market exposure positions us well. Moving to our customer groups in the United States. Residential trade plumbing grew by 1% as we begin to lap easier comparables and new residential markets begin to stabilize. While leading indicators such as new residential permits and starts have been somewhat mixed, we expect further improvement in future quarters. HVAC grew by 4% as we continue to build on the strengths of our residential trade plumbing and HVAC customer groups in service of the growing dual trade contractor. Residential Building and Remodel revenues grew by 1% with the high end portion of the market showing relative resilience as the overall repair, maintenance and improvement market remains pressured. Residential Digital Commerce declined by 12% as consumer demand continued to be weak. Waterworks revenues were up 7%. Bidding activity has remained healthy across our broadly diversified business mix, including residential, commercial, public works, municipal, meters and metering technology, water and wastewater treatment plants, soil stabilization and urban green infrastructure. The Commercial Mechanical customer group grew 8% as we continue to see our customers pivot towards work such as data centers and large capital projects. Our Industrial, Fire and Fabrication and Facilities Supply businesses delivered a combined net sales growth of 2% against a strong 14% growth comparable. Our breadth of customer groups positions us to maximize the value we bring to the total project while also maintaining a broad and balanced end market exposure. Now let me pass to Bill to cover the financial results in more detail.
Bill Brundage: Thank you, Kevin, and good morning, everyone. Third quarter net sales were 2.4% ahead of last year. Organic revenue declined 0.9% comprised of volume growth of approximately 1%, offset by deflation of approximately 2%. Acquisition revenue was 1.7% and one additional sales day added a 1.6% contribution. Overall price deflation of 2% remained similar to the first half driven by continued weakness in certain commodity categories, while finished goods pricing has remained broadly flat. Gross margin of 30.5% was up 50 basis points over the prior year driven by strong pricing execution from our associates. We are appropriately managing the cost base against volume growth. We continue to focus on productivity initiatives while we invest in core capabilities for future growth. Adjusted operating profit of $674 million was up $17 million or 2.6% higher than prior year. Adjusted diluted earnings per share grew by 5.5% with the increase due to the higher adjusted operating profit and the impact of our continued share repurchase program. And our balance sheet remains strong at one times net debt to adjusted EBITDA. Moving to our segment results. Net sales in the US grew 2.2% with an organic decline of 0.9%, offset by a 1.5% contribution from acquisitions and 1.6% from one additional sales day. Adjusted operating profit of $685 million increased 3.2% over the prior year, delivering an adjusted operating margin of 9.8%, improving 10 basis points over prior year. In Canada, net sales were 6.7% ahead of last year with an organic decline of 0.6%, offset by a 5.1% contribution from acquisitions and 2.2% from the combined impact of one additional sales day and the impact of foreign exchange rates. Markets have been similar to that of the United States. Adjusted operating profit was $6 million in the quarter. Turning to our year-to-date results. The year is progressing largely as expected. Net sales were 0.9% below last year with an organic decline of 3.2%, partially offset by an acquisition contribution of 1.9% and an additional 0.4% from the extra sales day. Gross margin was 30.4%, up 20 basis points as our associates have been disciplined in managing prices for a period of commodity price deflation. We have managed labor and nonlabor operating expenses through the year, balancing the near-term market demand environment against the return to volume growth in the third quarter. Adjusted operating profit of $1.967 billion was down 6.5% compared to the prior year, delivering a 9.1% adjusted operating margin. And adjusted diluted earnings per share of $6.72 was down 5%. Next, the business continues to generate strong cash flows. After the unwind of inventory positions in the prior year, we have returned to more normal historical seasonal working capital trends. We saw a net inflow of $20 million in the first nine months of the year. Interest and tax outflows were slightly lower than last year due to the timing of tax payments, resulting in strong year-to-date operating cash flows of $1.5 billion. And we continue to invest in organic growth through CapEx, investing $263 million year-to-date, down on the prior year due to timing of certain investments. As a result, we generated free cash flow of approximately $1.3 billion. Moving to capital allocation. Our balance sheet position is strong, with net debt to adjusted EBITDA of one times. We target a net leverage range of one to two times. And we intend to operate towards the low end of that range through cycle to ensure we have the capacity to take advantage of growth opportunities as well as to maintain a resilient balance sheet. We allocate capital across four clear priorities. First, we're investing in the business to drive above-market organic growth. Previously mentioned, year-to-date, we have invested $263 million into CapEx, principally focused on our market distribution centers, branch network and technology programs. Second, we continue to sustainably grow our ordinary dividend. Our Board declared a $0.79 per share quarterly dividend, a 5% increase over the prior year, reflecting our confidence in the business and cash generation. Third, we're consolidating our fragmented markets through bolt-on geographic and capability acquisitions. We are pleased to welcome associates from Southwest Geo-Solutions, AVCO Supply, GAR Engineering, Safe Step Tubs of Minnesota and Yorkwest during the third quarter and subsequent weeks. We have now completed eight deals this year, bringing in approximately $350 million of annualized revenue. Our deal pipeline remains healthy, allowing us to continue executing our consolidation strategy. And finally, we are committed to returning surplus capital to shareholders, and we are below the low end of our target leverage range. We returned $421 million to shareholders via share repurchases in the fiscal year-to-date, reducing our share count by approximately 2.3 million. And we are pleased to announce a $1 billion extension to our share repurchase program today. Now let's turn our attention to the sequential revenue performance of the business, which is trending in line with our expectations. Organic revenue has strengthened on a sequential basis with volume growth turning positive in Q3. We believe this trend will continue against easing comparables as we conclude our fiscal year. Now turning to our updated view of fiscal 2024 guidance. We continue to believe revenue will be broadly flat for the year albeit with slightly stronger volumes as we now expect modest deflation to continue through the end of fiscal year. Given that drag of deflation and with only one quarter remaining, we are narrowing the outlook for adjusted operating margin by trimming the top end of the range. We now expect to deliver between 9.2% to 9.6% adjusted operating margin for the year. As a result of our strong cash flow and net debt position, we have lowered our interest expense guidance to between $175 million to $185 million. Our adjusted effective tax rate is unchanged and expected to be approximately 25% this year. And we have lowered our expected CapEx investment by $50 million due to timing factors of capital outflows, now expecting it to land between $350 million to $400 million for the year. So to summarize, the year has progressed largely as expected, and we remain focused on execution. We believe the combination of our strong balance sheet, flexible business model and balanced end market exposure positions us well. Thank you, and I'll now pass you back to Kevin.
Kevin Murphy: Thank you, Bill. Let me again thank our associates for their continued dedication to serving our customers, helping them make their complex projects more simple, successful and sustainable. We're pleased with our execution in the quarter, and the year is progressing largely as expected. Our updated fiscal year '24 guidance reflects continued volume growth and resilient gross margin despite the impact of continuing mild deflation expected for the remainder of the fiscal year. As we look forward, we are well positioned with a balanced business mix between residential and nonresidential, between new construction and repair maintenance and improvement. We have an agile business model and flexible cost base that allows us to adapt to changing market conditions. Our cash generative model allows us to continue to invest for organic growth, consolidate our fragmented markets through acquisitions and return capital to shareholders. We intend to do this while maintaining a strong balance sheet, operating at the low end of our target leverage range. We have consistently executed on these priorities. And this has supported a long-term track record of outperformance and disciplined cash deployment. Our scale and breadth allows us to leverage our competitive position across our customer groups in order to benefit from emerging multiyear tailwinds in our end markets. We remain confident in the strength of our markets over the medium and longer term and expect to capitalize on growth opportunities. Thank you for your time today. Bill and I are now happy to take your questions. Operator, I'll hand the call back over to you.
Operator: Thank you. [Operator Instructions] And our first question today is from the line of Phil Ng of Jefferies. Phil, please go ahead. Your line is open.
Philip Ng: Hey, guys. Volume is certainly tracking a little better than you expected coming into the year, notably in your Waterworks and Commercial, Mechanical business. Are you seeing -- are you starting to see some of that uptick in bidding activity called out for the last few quarters on the heavy commercial industrial activity start to come through? And on the flip side, resi was a little more muted in this higher-for-longer interest rate environment. I'm just curious when you unpack all of these cross grants, how do you think about fourth quarter and certainly looking out to 2025?
Kevin Murphy: Thank you, Phil, and Thank you for the question. Maybe I'll take the beginning of that, talking a bit about the markets and then Bill can follow in. Appreciate the comments around the Waterworks and the Commercial Mechanical volume. And certainly, we're starting to see some activity play through on those large capital projects that we believe are going to be the strength that offset those things like office, distribution, warehouse and traditional knock-on commercial. And so we saw that growth inside of Waterworks, Commercial Mechanical, even inside of industrial pipe valve and fitting and then display the tail or the headwind of deflation inside of our Fire and Fabrication business. And you've heard us say this before, we were very pleased with the way that our groups are working together closer to the source of funds with the general contractor, with the owner and construction manager to make sure that we've got credible source of supply on some pretty tight timelines, making sure that we're helping to guide what that product selection looks like. And it's playing through in our revenue, and we're still seeing supportive bidding activity. And if you look at that group, that nonres activity actually has more deflation that impacts that business than even residential. If you turn to the residential, yes, certainly, it's still muted. Clearly, we've got affordability concerns around single-family new construction, in particular. But the lack of existing home inventory for sale means demand is still somewhat supportive. And we're pretty pleased with our performance and our over-market performance and share gains in that space. If you look at our residential trade plumbing business, which really is the point of the spear on that side of the world, their volume growth leaves us quite pleased. And as we look forward, the conversations we're having with our contractor base about that activity leaves us in a pretty good place as we're moving forward into that fourth quarter.
Bill Brundage: And then Phil, this is Bill. Maybe to touch on your guidance question on the fourth quarter. Taking a step back, when we came into the year to Kevin's point, we expected nonres to hold up a bit better than residential. As you know, we expected both sides of our markets to be down and our overall market to be down mid-single-digits with resi a little bit more pressured, nonresi a little bit better. And that's what I think we see playing out throughout the year. Nonres has held up a bit better. And we would expect, particularly given the performance in Q3, we would expect that to continue into Q4. Our overall guidance of broadly flat on the top line, that hasn't changed since we set that guidance out at the beginning of the year. And that clearly implies that we'll have some level of modest growth on the top line overall in Q4.
Philip Ng: Okay. That's great color. And I guess, Bill, now you're expecting some modest deflation for the full year, have you seen prices stabilize, particularly on your more commodity side of things? Is down 2% a good way to think about the fourth quarter? And how has like finished good prices behave? We've seen some inflation for the actual commodities like copper and zinc prices rise noticeably in recent months. Are you seeing any inflation? And does that have a lag effect? Like what does that all mean for you as we kind of look out the next 6 to 9 months in terms of your margins and your top line?
Bill Brundage: Yes, sure. I mean, first off, as you know, predicting commodity prices is pretty difficult but -- and we were expecting as we move through the year for the deflationary pressures to lessen, particularly as we start exiting this year as we start to roll over some of those deflationary comparable from the prior year. On commodities, we are seeing some stability in prices, but it's important to note that they're still year-over-year still down. So if you take -- you mentioned copper. If you look at copper tube for us, prices have been moving in an upward direction more recently, but still down year-over-year. So there's still some deflationary year-on-year pressure even in copper, too. Carbon steel has been one that's moved more sequentially sideways. And so that deflationary pressure is starting to lessen from a year-over-year perspective. And then we still have some pressure on the plastic pipe side of the world. So there's still some year-on-year pressure. We do expect that to lessen as we move into the future. But we still expect now or we expect now that modest level of deflation to continue a bit longer than we initially expected at the beginning of the year and perhaps into the start of our fiscal year. On the finished goods side, finished goods pricing has held up better as expected. We're about flat year-over-year in total finished goods. What we've seen and I think what we flagged is that some of the typical annual price increases that we would normally see in our industry have just been a bit spottier than normal. So still some expected return to inflation. It's just taking a bit longer on the finished goods side of the world than what we may have expected at the outset of the fiscal year.
Philip Ng: And Bill, any categories that stand out that's a little spottier on the finished goods side from a pricing standpoint?
Bill Brundage: Well, if you look at where we've seen some of the more recent increases, take HVAC units where we've seen it maybe a bit spottier has been in areas like appliances, maybe on the faucet category. So it's just a bit more of a mixed bag than we would typically see.
Philip Ng: Okay. Appreciate all the great color guys. Thank you.
Bill Brundage: Thank you, Phil
Operator: Our next question today is from the line of John Lovallo of UBS. John, please go ahead. Your line is open.
John Lovallo: Good morning, guys. Thank you for taking my questions. The first one is can you sort of walk through the moving pieces of your revenue outlook? I mean how much of a headwind versus the prior outlook is the updated view on price? And is that fully offset by organic volume? Or is there some incremental M&A that's part of this as well? And if so, could you help us break out those two components, please?
Bill Brundage: Yes. I would tell you, John, that the majority of the broadly flat guidance has been a touch more deflation, offset by organic volume. We have done a handful of deals. We announced four deals last week. And if you look in total, while that's going to be a nice tail as we enter into next fiscal year, that doesn't change the overall guide from an acquisitions perspective very materially for the rest of the year. If you take a step back, for the full year, acquisition revenue will probably be somewhere in the $600 million range. So that hasn't changed significantly. So it's more been a slight increase in volumes, offset by that modest deflation lasting a bit longer than we expected.
John Lovallo: Understood. And then can you just help us think about the drivers of risk across the operating margin outlook range? It seems like the top end was taken off the table. What sort of drove you to do that? Was that all the -- was solely attributable to the deflation? And what would sort of get you to the bottom end of the range now? Why not take that bottom end of the range off the table as well?
Bill Brundage: Yes. In terms of trimming the top end of the range, again, what hasn't changed is the revenue guide. What has changed is that deflation lasting a bit longer puts a touch more pressure on the SG&A side of the world. So I mean if you look at 2% deflation in the quarter, that's worth about $145 million on the top line. We clearly have to have the input costs and the headcount and the associate count to take care of that volume. And so that puts a bit of pressure on that OpEx leverage, then recognizing that we're sitting at a 9.1% operating margin through three quarters. Our midpoint of our guide at 9.4%, but the wide end of the range 9.2% to 9.6% implies that we'll deliver somewhere between 9.5% to an upper 10% operating margin for Q4 versus 10.4% last year in Q4. So we think that's a pretty reasonable bookend approach to take as we look at the fourth quarter. In terms of the bottom end of the range, why not take that off the table? Quite honestly, what could cause us to come closer to that bottom end of the range would be additional deflationary pressure in Q4, which as we think we have a pretty good window into what that will be. Again, it's always a little bit difficult to predict how that will come through over the next quarter.
John Lovallo: Understood. Thank you, guys.
Bill Brundage: Thank you, John.
Operator: Our next question today is from the line of Sam Reid of Wells Fargo. Please go ahead. Your line is open.
Sam Reid: Thanks so much guys for taking my question. I wanted to maybe unpack the quarter in a bit more detail. You've already provided some color here, but maybe just one more question around this. If I recall, February was kind of trending more flattish from an organic basis. So maybe just talk through how trends might have looked through the remainder of the quarter, especially since you were lapping easier comps in those months.
Bill Brundage: Yes, Sam, I'll answer that one. February was about flat from an organic perspective. I think it's important [Technical Difficulty] seasonally slow month and I think we tried to call that out at the second quarter. The trend really didn't change significantly through March and April. Clearly, if February is flat, March and April were down slightly from an organic perspective but pretty close to the overall organic decline that we delivered for the quarter. So a slight organic decline. Again, that deflationary pressure continued a bit longer through the quarter and now expected to continue a bit longer as we've already outlined. But no significant movement month-to-month in the quarter that would be worth noting.
Sam Reid: That's helpful. Maybe let's pivot down the P&L and talk a little bit about SG&A. It's something that a lot of investors, I think, are looking at with respect to your name. And maybe just think about kind of absolute SG&A levels this quarter, kind of would you say you're well calibrated into kind of some of these seasonally stronger quarters that are coming up? And maybe how should we be thinking about SG&A into FQ4 and perhaps into FQ1? Thanks.
Bill Brundage: Sure. Yes, we're really pleased with how our teams have managed the business through what has been a challenging time with that top line deflationary pressure. If you look at the overall SG&A cost Q2 to Q3, SG&A was up about 3%, and that's with revenue sequentially moving up about 9%. So the teams have done a great job. We've held full-time equivalents from a headcount perspective about flat to last year on an organic basis, and that is in the face of increasing volumes. So we've generated some volumetric productivity in the business through the quarter. You asked about do we have the right level, and we think we do have the right level to step out of Q3 and into Q4. So we don't have any planned cost actions at this point because we think we have the right cost base to take care of an improving market and volumes that will continue to step up as we go through our seasonally strong months. But we should continue to improve a bit on that operating cost leverage as we move out of this fiscal year and into next fiscal year. If I go back to Q2 and look at just pure SG&A leverage, we were down about 90 basis points on the prior year in Q2, down about 50 basis points in Q3. And again, I'd expect that gap to continue to work its way to flat as we get back to growth.
Sam Reid: That's helpful. Thanks so much. I'll pass it on.
Operator: Our next question today is from the line of Dave Manthey of Baird. Dave, your line is now open. Please go ahead.
Quinn Fredrickson: Hi. Good morning guys. This is Quinn Fredrickson on for Dave. Thanks for taking the question. I know that you're not providing fiscal '25 guidance obviously at this stage, but just wondering even conceptually or qualitatively, which of your end markets or customer groups as you're kind of looking out into next fiscal year, you starting to feel better about? And conversely, are there any that you're starting to maybe see a little bit more pressure on?
Kevin Murphy: Yes. Thank you, Quinn. Good morning. We're really pleased actually with both sides of the house when you look at residential and nonresidential and the performance in the quarter. And as we start to look forward, we highlighted earlier the fact that there's demand out there. Existing home turnover is not happening at the levels we've seen historically. And so single-family new construction becomes that outlet. And so we're energized by our ability to take share on that side of the world as we move into fourth quarter and into Q1 of the following fiscal year. Additionally, on the repair and maintenance and improvement side of the residential market, the dual trade contractor, the residential trade repair professional and the focus and the investment that we're putting there for that residential trade pro that does both plumbing as well as HVAC and the expansion that we're seeing inside of our HVAC business provides us with some pretty energizing activity. And then if you look at the nonresidential side of the house, it really is a unique time in our country's history. And it continues to be supportive with things like infrastructure investment, data centers, chips, manufacturing, health care, life sciences that are filling the void right now of high rise and with distribution and warehouse activity. And we think that continues and only continues to ramp up as we go into '25 and beyond, and that's got a multiyear tailwind. So if you look at those three areas, we're fairly energized by what it can be in medium-term markets.
Quinn Fredrickson: All right. Thank you. That's helpful. And then second question on gross margin here in the third quarter. I'm wondering if you could help unpack for us that I think you mentioned, Bill, maybe just on the pricing side of things, really good execution. But was there anything unusual in terms of rebates or anything like that? It's just like seasonally, it was very strong. And then secondly, on the execution side of things, can you help unpack what you're doing to drive that? Are there certain tools that you're providing to associates? Or just any color there. Thanks.
Bill Brundage: Yes, sure. Nothing in terms of a one-off or unusual really in the quarter. But look there are a number of initiatives that we've been driving throughout the business to try to execute stronger gross margins over time. Certainly, there are a number of tools that we've rolled out from a pricing analytics perspective in terms of setting a relevant price. There are absolutely pricing tools that we put in the hands of our associates to derive a price for a job or a price for a special kind of quote. In terms of overall approach, we continue to drive our product strategy, which is selling the products that work or most appropriate for an individual project, but that also gives us the best gross margin. So there's a lot of focus on that throughout the organization, and our teams are doing a nice job executing that. And then certainly, we've got our own brand initiative, which is core to that product strategy, and we've had some nice improvement on owned brands. So there are a number of aspects to our improved gross margins. As we look forward, we'd expect continued strong gross margins. Typically, in Q4, there's a bit of seasonal pressure as our lower gross margin businesses like HVAC and Waterworks tend to take a larger share of the total revenue. But overall quite pleased with the gross margin delivery in the year-to-date.
Kevin Murphy: Yes, Quinn, and maybe to build a little bit on what Bill was saying, we think that gross margin is the best reflection of the value that we provide in the marketplace. And if you look at the need for trade professionals in our country and their time being incredibly valuable, anything that we can do to add construction productivity to the mix, we think it's reflected in our gross margin. And some of that, a lot of that has to do with product selection to Bill's point around product strategy and also making sure that we are serving their needs on time and in full with the best breadth and depth for their unique needs in the marketplace. And so we think that gross margin is a good reflection of what we're doing, and we'll continue to drive that as we go forward.
Quinn Fredrickson: Thank you, Both.
Kevin Murphy: Thanks, Quinn.
Operator: Our next question today is from the line of Keith Hughes of Truist. Please go ahead. Your line is open.
Keith Hughes: Thank you. Just to delve into the deflation a little more, could you talk about what individual products are continuing to see deflation and what sectors that's affecting?
Bill Brundage: Yes, sure. Again, Keith, it's all driven on the commodity side of the world. And for us, again, just to level set, when we talk about commodity products, things like plastic pipe, copper tube, steel pipe, carbon steel, et cetera. So it's slightly under 15% of our total revenue. All those commodities are moving in the same direction. Most are in some form of year-over-year deflation. Again, just to go back to a couple of things that I highlighted before, copper tube, we've started to see that move up, but it's still down -- up sequentially, but it's still down year-over-year. If that trend continues, we would expect over the next couple of quarters copper tube to turn back to inflation, but again, difficult for us to predict how that moves. Carbon steel, stainless steel has been a bit more sequentially flat. So it will take a bit longer to move out of deflation. And then in the plastics side of the world, while we have some different pressures that we've talked about in the past between plumbing, plastic pipe and Waterworks plastic pipe, there's still some pressure there overall. But in general, it's the commodity basket that's still in that deflationary territory, which is driving the total 2% deflation in the top line.
Kevin Murphy: I think that's the most important call out is that this is input cost-led commodity deflation that drove that 2% number in the quarter.
Keith Hughes: Okay. And one final question on this. On the water plastic pipe, the large diameter pipe has remained particularly high after substantial run. Are you seeing any signs of real deflation there of that coming back down to historical prices?
Kevin Murphy: It has performed better than the plastic pipe inside of the more residential plumbing side of the business. A variety of different reasons as to how that could be the case, whether that is overall demand being supportive, the vertical nature of the PVC pipe manufacturers, those things all play into account. But they still have pressure in terms of deflation year-on-year inside the quarter in Waterworks.
Keith Hughes: Okay. And final question, the residential trade numbers were very encouraging, that positive 1%. I think you made a comment there on volume. Was the volume a little better than the revenue number you mentioned?
Kevin Murphy: Yes, it was. And we are encouraged by the volume. Our teams are out there doing good work and driving over market performance even in the face of what you just attributed to, call it, plastic pipe deflation inside of a large portion of that market. So they've done a nice job of going out and gaining share, both in residential trade repair as well as in new construction in that market.
Keith Hughes: Okay. Great. Thank you.
Kevin Murphy: Thank you.
Operator: Our next question today is from the line of Mike Dahl of RBC Capital Markets. Mike, please go ahead. Your line is now open.
Christopher Kalata: Hey, it's Chris Kalata on for Mike. Just going back to the pricing conversation and your comments around spottiness on the finished goods side, could you just maybe flesh out a little more the dynamic that's causing that? Is it competitive pressures in the market? Is it your customers pushing back? And then I think last quarter, your expectation was overall pricing, including commodity, to be positive in 4Q. Now that's through -- you expect it to be negative through the end of this year. So are you expecting total pricing to be positive in 1Q '25? Or just some color there on when do you expect eventual positive price inflection?
Kevin Murphy: Yes. Chris, as we indicated, the deflation in the quarter was driven by input cost commodity deflation. In terms of that flat finished goods number, we're reasonably pleased with that. It's not competitive pressure that's driving that down. It's the spotty nature of increases on the annual price increase cycle that our finished goods manufacturers are going through. And so if you look at where that 2% is, again, that is strictly driven by the input cost commodity deflation that we're experiencing.
Bill Brundage: Yes. And in terms of what we expected versus what has changed now to Kevin's point, it's -- finished goods a bit spottier, so maybe not as much inflation in the second part of our fiscal year as we might have expected and then that commodity deflation lasting a bit longer. The combination of that has driven us to say we now expect deflation -- overall price deflation for our full fiscal year to be down around 2% expecting a similar level in Q4. Again hard to call when that turns, how long that lasts. We do expect that deflation to lessen as we step into the future, not the least of which, again, is we're going to roll over those deflationary comparables. But it's likely perhaps to last into the start of our fiscal year. Hard to call exactly when that inflects.
Christopher Kalata: Understood. And then maybe just shifting to some of the tailwinds you called out on mega projects in the past. And I just was curious what you're seeing today in terms of that tailwind and any kind of quantification you can provide on expectations of growth exiting this year into next? Thanks.
Kevin Murphy: Yes. As we said, we continue to have good strong bidding activity. Our groups continue to work well together both with the GC as well as the project owners and then the individual specialist pros that are on that job from infrastructure through Fire and Fabrication through Commercial, Mechanical and industrial pipe valve and fitting. And that's evident that it's impacting the quarter. You see Commercial, Mechanical up 8%. You see our Waterworks business up 7%, our total nonres up 4% despite having more deflation than the entirety of our book of business. As we look forward, as we said, that starts to ramp up, and these projects take longer. They have fits and starts as you're going through the construction process. And we see that probably peaking as we start to move '25, '26. So it's got a longer tailwind, but right now, suffice it to say it's filling the void of that high-rise office distribution center warehouse knock on commercial activity, as we've said.
Christopher Kalata: Got it. Appreciate the color.
Kevin Murphy: Thank you.
Operator: Thank you. And we will now take our last question from the line of Will Jones of Redburn Atlantic. Will, your line is open. Please go ahead.
Will Jones: Thanks. Good morning. Can I just come back on volume, please, when you talk about continued improvement through the rest of the year? Is the implication there that you might do better in Q4 than the plus one of Q3 like-for-like? And then secondly, maybe if you could just update around the DC kind of rollout. I think Toronto opened in the spring. Could you remind us what's coming later this year and perhaps as we look to '25? And just marry that up with the CapEx for the year that you pulled down by $50 million. Presumably, that's not about the DC themselves? Thanks.
Bill Brundage: Yes. Well, if you look at the broadly flat guide, that would imply for Q4, we're going to have somewhere around 2% to 3% growth at the midpoint. Certainly, there's a range of just positive to slightly more than that midpoint on a broadly flat full year guide. But that would imply that with about 2% deflation that volume does continue to get a bit better as we step through the fourth quarter. So that is our expectation. In terms of the MDC rollout to your point, we did just open the Toronto MDC within the last few months. So we've got four that are now open. We have three more that are in the construction phase. That would be Nashville, Dallas and in Washington, DC. And then in addition to that, we are adding automation that we've developed and launched in those MDCs. We're adding some of that automation to some of our existing and newer large format buildings areas like our front royal distribution center and then a large format building in Fort Myers and down in Florida. So we're continuing with the execution plan that we laid out on MDC. So from a CapEx perspective, there's no change in strategy here. It is simply timing of those real estate investments and when that cash is going to flow out the door but no change in strategy.
Will Jones: Thank you.
Operator: This concludes today's Q&A session. I'll now hand back over to Kevin Murphy for some closing remarks.
Kevin Murphy: Thank you, operator, and thank you again for your time on the call today. We again want to express our sincere thanks to our associates. They continue to add value to our customers. They continue to work to make their projects more simple, successful and sustainable. As we look at the year in total, it continues to play out largely as we've expected. We're pleased to achieve revenue growth of 2.4% driven by volume improvement in the quarter. We're also pleased with the delivery of a 9.2% adjusted operating margin in the quarter and growing EPS by 5.5%. So again thank you very much for your time. We appreciate it greatly. We'll talk to you very soon. Thank you.
Operator: That concludes the Ferguson third quarter results conference call. I'd like to thank you for your participation. You may now disconnect your lines.